Operator: Good day and thank you for standing by. Welcome to the Great Ajax Corp Q3 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your first speaker for today, Mr. Lawrence Mendelsohn, CEO of Great Ajax. Thank you. Please, go ahead, sir.
Lawrence Mendelsohn: Thank you. Thank you, everybody, for joining us for Great Ajax’s third quarter 2021 conference call and presentation. Before we get started, I would like to point you the Safe Harbor disclosure on the second page and with that, we can jump in. Q3 2021 was another good quarter in a lot of ways. Our overall cost of funds further decreased by almost 30 basis points. Our significant increase in loan performance and loan cash flow velocity continued and has also continued into the fourth quarter of 2021. This continuing increase in loan cash flow and loan payments in excess of our modeled expectations led to an additional acceleration of income on loans during Q3 of 2021 of $3.7 million. We continue to be in an offensive position and in the third quarter, we purchased a significant amount of loans with certain specific characteristics in good locations and at low percentages of underlying property value. The prices we paid are materially lower than where mortgage loans are currently selling. At September 30, 2021, we had approximately $93 million of cash and more than $300 million of unencumbered bonds, unencumbered beneficial interest and unencumbered mortgage loans combined. As of October 31, we have approximately $97 million in cash and still have approximately $300 million of unencumbered bonds beneficial interest in mortgage loans. Significant cash balance does create some earnings drag and the significant cash flow velocity from our mortgage loans and mortgage loan JV structures rapidly pays down our loan and securities portfolio leverage. We are, however, well-equipped for volatility and the investment potential it creates and have good opportunities in our pipeline. On Page 3, the business overview. Our Manager’s strength in analyzing loan characteristics and market metrics for reperformance probabilities and pathways and its ability to source these mortgage loans through long-standing relationships enables us to acquire loans that we believe have a material probability of long-term continuing reperformance. We’ve acquired loans in 345 different transactions since 2014, including seven transactions in Q3 of 2021. Remember that we own and 19.8% interest in the equity of our manager. Additionally, our affiliated servicer provides a strategic advantage in nonperforming and non-regular paying loan resolution processes and time lines and it also has a data feedback loop for our manager’s analytics. In today’s volatile environment having our portfolio teams and analytics group at the manager working closely with the servicer is essential to maximize reperformance probabilities, loan, by loan, by loan. We have certainly seen the benefit of this during the COVID pandemic and in Q3 2021 with a significant ongoing increase in loan cash flow velocity and credit performance. Like our 20% equity interest in our manager, we have a 20% economic interest in our servicer. The analytics and sourcing of the manager and the effectiveness of our affiliated servicer also enables us to broaden our investment reach through joint ventures with third-party institutional investors and thereby invest in larger transactions as well. We still have low leverage. Our September 30, 2021 corporate leverage ratio was 2.2 times versus 2.3 times at June 30. Our Q3 2021 average asset base leverage was 2.1 times versus 2 times in Q2 and 2.1 times in Q1, even though we made significant acquisitions in the second and third quarters. We also have $20 million invested in Gaea Real Estate Corp, a REIT that invests in multifamily properties, multifamily repositioning mezzanine loans and triple net lease veterinary clinic real estate. Gaea is managed by a subsidiary of our manager. We think Gaea has a great deal of optionality and we expect to further invest in Gaea and that Gaea can grow materially. On Page 4, some of the highlights. Net interest income from loans and securities including $3.7 million interest income from the increase in the present value of loan payoffs and cash flow velocity in excess of modeled and allocated collectability was approximately $18.1 million in the third quarter. Our gross interest income excluding the $3.7 million from the increase in cash flow to our reserve models was similar to Q2, but net interest income was $230,000 higher due to our reduced cost of funds. Interest expense decreased by approximately $220,000 even though our average debt balance was higher for the quarter. A GAAP item to keep in mind is that interest income from our portion of joint ventures shows up the income from securities, not interest income from loans. For these joint venture interests, servicing fees for securities are paid out of the securities waterfall, so our interest income from joint venture securities is net of these servicing fees unlike interest income from loans, which is gross of servicing fees. As a result, since our joint venture investments have been growing faster than our direct loan investments, GAAP interest income will grow more slowly than if we directly purchased loans outside of joint ventures by the amount of the servicing fees, and GAAP servicing fee expense will decrease by the corresponding offsetting amount. An important part of discussing interest income is the payment performance of our loan portfolio. At September 30, approximately 76.6% of our loan portfolio by UPB made at least 12 of the last 12 payments as compared to only 13% at the time we purchased the loans. This is up from approximately 74.2% at June 30, 2021. In our first quarter of 2020 Investor call, we mentioned that we expected the COVID-19-related economic environment would negatively impact the percentage of 12 to 12 borrowers in our portfolio. Thus far, the impact on regular payment performance has been far less than expected and the percentage of our portfolio that is 12 of 12 has been stable and increasing since Q4 2020 and is now higher than Q4 2020. Additionally, we have seen prepayment from material subset of our COVID impacted borrowers, the significant absolute dollars of equity and were uncertain positive home price appreciation locations. The continuing strong regular payment pattern and the prepayment pattern of certain previously delinquent loans partially leads to the $3.7 million increase in present value, of borrower payments in excess of modeled expectations for the quarter. Approximately 28% of our full loan payoffs in Q3 2021 were from loans over 180 days delinquent. This is up from approximately 20% in Q2 of 2021. While regular paying loans produce higher total cash flows over the life of the loans on average, they can extend duration and because repurchase loans are discounts, this can reduce percentage yield on the loan portfolio and interest income. However, regular paying loans increase our NAV, enable financing at a lower cost of funds and provide regular cash flow. Loans that are not regular monthly pay status tend to have shorter duration. However, we generally expected that this duration reduction would be less than typical, due to the impact of certain COVID-19 resolution extension requirements. As I mentioned earlier, most of our loans were purchased as non-regular paying loans and the borrowers, our servicer and portfolio team and our manager have worked together over time to reestablish these loans as regular paying. We also expect that given the relatively low mortgage rate environment and the stability of housing prices so far, that higher prepayments will likely continue for both regular paying and non-regular paying loans. This shortens duration and increases the present value of collectability of a portion of the discount reserve in excess of our expectations. Our cost of funds in Q3 was lower than Q2 by nearly 30 basis points. This was primarily due to spread reductions on repurchase facilities. We expect our cost of funds to continue decreasing as we call and resecuritize three of our older securitizations in the next few quarters. Net income attributable to common stockholders was $9.3 million or $0.40 per share after subtracting out $1.95 million of preferred dividends. There’s a couple of other things to note. Our acceleration of discount allowance related to credit performance was $3.7 million versus $4.7 million in Q2 due to the cumulative reduction in credit allowance in the prior several quarters. We had about $100,000 reduction in net interest income due to three-week timing gap between resecuritizing loans and calling the underlying bonds that were previously backed by those loans. We expensed approximately $2.5 million relating to the GAAP required fair value accrual of warrant put rights from our Q2 2020 issuances of preferred stock and warrants, versus $2.2 million in the second quarter. We did pick up approximately $300,000 other income, primarily from recoveries and gains on the sale of REO, which is partially offset by an increase in real estate operating expense. We would expect this trend to continue as REO formation increases after having a continuing net reduction in REO since the second quarter of 2020. Book value was $16 a share at September 30, 2021 versus $15.86 at June 30, 2021. The difference in book value comes from our GAAP earnings in excess of our dividend and also an increase in the market values of certain debt securities. Taxable income was $0.43 per share. Taxable income in Q3 was primarily driven by lower interest expense, increases in prepayment especially for non-performing loans and from continuing high cash flow velocity on performing loans. We saw many delinquent loans prepay in full and generate tax gains. Approximately 28% of all prepayments were nonperforming loans. Additionally, as our cost of funds decreases further, we would expect further reductions in interest expense, which increased taxable income. In Q3, we completed one rated securitization and a joint venture structure totaling $517 million in UPB with proceeds paying down two prior unrated securitizations. The new securitizations combined increase leverage on the related loans and reduced funding costs. We retained approximately $55 million UPB in the form of debt securities and beneficial interest in the joint venture. We purchased $87.5 million in nonperforming loans with UPB of $91 million and total owing balance of approximately $96 million. ***12*** ***12-24*** ….beneficial interest in the joint venture. We purchased $87.5 million in nonperforming loans with UPB of $91 million and total owing balance of approximately $96 million. One transaction was $82.3 million with UPB of $84.4 million and total owing balance of approximately $90 million. All of the underlying properties in this transaction are in Miami, Dade Broward and Palm Beach counties in Florida. This transaction closed in mid-August. In late July of 2021, we purchased $170 million of NPLs into a joint venture securitization that was created in June of 2021 with the securitized pre-funding structure to buy the loans. We own 20% of this joint venture. The purchase price of the loans was 98% of UPB, but only 93% of the owing balance and 54% of the underlying property value. This transaction is accounted for in debt securities and beneficial interest rather than most. At September 30, we had approximately $93 million of cash and for the third quarter, we had an average daily cash balance and cash equivalent balance of approximately $89 million. We had $83 million of cash collections in the third quarter, which is a 7% increase over the second quarter, which was an 11% increase over the first quarter. Our surplus cash tempers earnings and ROE, but this provides us with significant optionality and the related earnings decreases as we get the cash invested over time. As I mentioned earlier in this call, at September 30, we also had more than $300 million face amount of unencumbered securities from our securitizations and joint ventures and unencumbered mortgage loans. And as of October 31, we had $97 million of cash. As I mentioned earlier on the call, approximately 76.6% of our portfolio by UPB made at least 12 of their last 12 payments compared to only 13% at the time of loan acquisition. Keep in mind that pre-COVID the number was 76.2%. This difference creates material embedded net asset value versus our loan purchase cost basis. It also enable us to continue reducing our cost of funds and increased credit enhancement advance rates and leverage through rated securitization structures. With that, we’ll turn to Page 5. Purchased reperforming loans represent approximately 88% of our loan portfolio at September 30. They represented about 96% of our loan portfolio at June 30. We primarily purchased loans that have made less than seven consecutive payments and NPLs that have certain loan level and underlying property specifications that our analytics suggest lead to positive payment migration on average. The positive payment migration of these purchased RPLs and NPLs resulted in an increase in the fair market value of the loans and decrease in the cost of funding those loans. On Page 6, we continue to buy and own lower LTV loans. Our overall RPL purchase price is approximately 48% of the property value and 88.5% of UPB. And on Page 7, purchased NPLs increased in the third quarter as we purchased almost $90 million in loan format. For NPLs on our balance sheet, our overall purchase price is 90% of UPB and 57% of property value. Purchase price represents approximately 84% of total owing balance including any arrears. As a result of the low loan to value and higher absolute dollars of equity on average for our NPL portfolio, we have seen that rising home prices have significantly accelerated prepayment and regular payment velocity on our NPLs as borrowers can capture significant and growing equity. This leads to greater interest income from the acceleration of loan purchase discount and the increase in present value of cash flow velocity. Our target markets. California continues to represent the largest segment of our loan portfolio. Our California mortgage loans are primarily in Los Angeles, Orange and San Diego Counties. We’ve seen consistent payment and performance patterns from loans in these markets. Performance in Southern California has far outperformed expectation during the COVID pandemic period. We have also seen consistently strong prepayment patterns, even more so in the last three quarters. Since May of 2020, California prepayments represent nearly 40% of all prepayments in our portfolio. Until May of 2020 we had been seeing material negative effects from the result provisions of the tax law. In New York City metro and in suburban New Jersey in Southern Connecticut home values and home sale liquidity. However, since then, we’ve seen a quick positive turn in liquidity in these suburban locations. It is too early to tell whether this is a short-term phenomenon or a longer-term change in lifestyle. As a result of COVID-19, work, home requirements and the impact from potential new tax law changes, if any, becoming effective. Related to this, we have also seen demand and prices for homes and home rentals increased materially in several metro areas of Florida, as well as Phoenix, Dallas, Charlotte, Atlanta and several other areas where we have concentrations. We have seen this appreciation primarily in single-family homes, however and much less so for condominiums. On Page 9. At September 30, approximately 76.6% of our loan portfolio made at least 12 of the last 12 payments, including approximately 68.8% of our portfolio that made at least 24 of the last 24 payments. This compares to approximately 13% at the time of purchase and 74.5% back in March of 2020. Non-paying loans which usually have shorter durations than paying loans can get time lines extended as a result of COVID-19 moratoriums. This negatively affects the yield on true nonperforming loans as extended resolution time lines can lead to more property tax, insurance and repair expenses. However, in the past four quarters and continuing so far into the Q4 of 2021, we have seen prepayment as nonperforming loan shortened duration on average rather than extend duration. Since we purchased most of our loans when they were less than 12 of 12 payment history, our servicer has worked with most of our borrowers over time. While it’s too soon to understand the full impact of COVID-19 on home prices and mortgage loan performance, so far the impact on our portfolio has been positive as we have seen demand for homes in our targets’ markets increase, cash flow velocity on the loans increase and prepayment in full impacted on our loans increase. 12 for 12 loans in today’s loan market trade at materially higher prices in our cost basis, well over par. As a result, the fair market value of our loan portfolio and implied corporate net asset value estimates are materially higher than GAAP book value which presents our loans at the lower of market or amortized cost. Since Q3 ended, we have agreed to purchase approximately $351 million UPB of nonperforming loans in a joint venture structure subject to due diligence. The purchase price for the loans is approximately 103.5% of UPB, approximately 95% of the owing balance including arrears and approximately 50% of the underlying property values. We expect this transaction to close in late November of 2021 and we will retain a 16.3% interest in this joint venture’s structure. On November 4, we declared a cash dividend of $0.24 to be paid on November 29 to holders of record on November 15. A couple of financial metrics to note on Page 11. Average loan yields excluding the increase in unallocated discount to cash flow and excess of modeled expectations declined marginally by approximately 0.1%. Based on expected cash flow models and credit allowance reductions from a significant increase we have seen loan cash flow velocity, we expect some increases in asset yields for most of our loan portfolio. For debt securities and beneficial interest, remember that yield is net of servicing fees and yield on loans is gross of servicing fees. Debt securities and beneficial interest is how our interest in our JVs are presented under GAAP. As our JVs increase as they did in 2020 and 2021 relative to loans, the GAAP reporting will show lower average asset yields by the amount of the servicing fees. Leverage continues to be low, especially for companies in our sector, we ended Q3 with asset level debt of two times and average asset level debt for the quarter was 2.1 times. Our asset level debt cost of funds was lower in Q3 than Q2 by approximately 30 basis points and the cost of our asset level debt has further declined. As we get our surplus cash invested, we should see increases in interest income and net interest income as well. On the financing side on Page 12, our total repurchase agreement related debt at September 30 was approximately $518 million, of which $145 million was non-mark-to-market mortgage loan financing and $275 million is financing on Class A1 senior bonds in our joint ventures. At September 30, we had $161 million face of unencumbered bonds as well as the $140 million UPB of unencumbered equity beneficial interest certificates, $59 million of unencumbered mortgage loans. Combined with $93 million of cash at September 30, we have significant resources for being on offense and defense. And with that, I’m happy to answer any questions that anybody might have.
Operator: [Operator Instructions] There are no questions on queue. You may now continue.
Lawrence Mendelsohn: Thank you. If there is no question, thank you very much, everybody, for joining us on our third quarter conference call. Feel free to reach out and to the extent you have questions at the later time or date and hope everyone enjoys their evening. Thank you, again.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.
 :
 :